Operator: Good morning, and welcome to the Dice Holdings' Third Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Constance Melrose, Vice President of Corporate Development. Please go ahead.
Constance E. Melrose: Thanks, Gary, and good morning to everyone. With me on the call today is Mike Durney, President and Chief Executive Officer of Dice Holdings; along with John Roberts, our Chief Financial Officer. This morning, we issued a press release describing the company's results for the third quarter of 2014. A copy of that release can be viewed on the company's website at diceholdingsinc.com. Before I hand the call over to Mike, I'd like to note that today's call includes certain forward-looking statements, particularly statements regarding future financial and operating results of the company and its businesses. These statements are based on management's current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may vary materially from those expressed or implied by the statements herein due to changes in economic, business, competitive, technological and/or regulatory factors. The principal risks that could cause our results to differ materially from our current expectations are detailed in the company's SEC filings, including our annual report on Form 10-K in the sections entitled Risk Factors, Forward-looking Statements and Management's Discussion and Analysis of Financial Condition and Results of Operations. The company is under no obligation to update any forward-looking statements, except as required by the federal securities laws. Today's call also includes certain non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin and free cash flow. For details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, please refer to our earnings release and our Form 8-K that has been furnished to the SEC, both of which are available on our website. And now I'll turn the call over to Mike.
Michael P. Durney: Great. Thanks, Constance. Let me welcome you all to the Dice Holdings' third quarter earnings results conference call. First, I'll turn it over to John and he'll give you details on our Q3 financial performance. Then I'll cover the progress we're making on our strategic plan, with a fair amount of time today being spent on product improvements, the pace of these advancements has been accelerating, which highlights the sense of urgency we have adopted the team. And then finally, we'll open up to your questions. So with that quick overview, I'll turn it over to John.
John J. Roberts: Thanks, Mike. In the third quarter, we continue to have a healthy environment to work on our operations, and the signs of progress continue. Overall, recruitment activity was fairly consistent in Tech, Energy, Healthcare and Hospitality, with momentum improving in financial services. For this quarter, I want to highlight a few areas that are important to our results. One, year-over-year organic billings growth, although modest for the third quarter in a row, including an increase in Dice.com billings. Two, continued stabilization of the number of recruitment package customers at Dice.com from Q2. Three, with better revenue performance in our Finance segment, we're seeing profitability of that segment improve after having kept the cost structure in place during the financial services downturn. And four, we had better results from Slashdot Media for the second quarter in a row. Third quarter revenues increased $15 million or 29% year-over-year to $67.6 million. The majority of the growth, $13.2 million, came from businesses that we acquired over the past year. The rest of the growth came from improvements at Slashdot Media and eFinancialCareers. Our profitability remained strong with adjusted EBITDA at 33% of adjusted revenues and up 23% year-over-year to $22.4 million. For the Tech & Clearance segment, revenues increased 3% year-over-year, with all the growth attributable to the acquisition of The IT Job Board last year. For Dice.com, revenues declined 1% year-over-year. At September 30, Dice recruitment package customers were 8,000, flat to the count at June 30 and March 31. While we have some distance yet to go, we are encouraged by another quarter with more evidence of a stabilizing trend. Within the Dice recruitment package customer base, there were minimal shifts quarter-over-quarter between shorter term and annual customers with more than 90% or 7,400 of our customers under annual contract at quarter end. The renewal rate on annual contracts in the third quarter was 67% with about 1,600 customers up for renewal during the quarter. In Q3, customers spent on average $1,047 per month, up 5% year-over-year, as customers continue to increase their levels of service. Finally, within the Tech & Clearance segment ClearanceJobs accounting for 4% of our overall revenues, returning to revenue levels of a year ago reversing a negative trend of 5 quarters. Additionally, ClearanceJobs experienced a third straight quarter of year-over-year higher billings. Government budgets and hiring running above 2013 levels and the rising demand for a range of clear talent in today's environment have created more opportunity in this sector. Moving onto the Finance segment. Revenues increased approximately $900,000 or 10% year-over-year to $9.4 million, with even stronger year-over-year growth in billings. Foreign currency translation positively impacted revenues by about $600,000 from the third quarter a year ago. I'll be discussing the regions in their respective functional currency to give perspective on the underlying business trends. In the U.K., which accounts for about 42% of the segment, revenues increased 6% year-over-year in sterling. Overall, the environment continues to be better than last year, and we are seeing recruiters start to consider their need for larger packages of services from us. In Asia-Pacific, which is 25% of the segment, revenues were up 9% in Singapore dollars, with stronger performance in Asia, which was up 14%, offset by continued softness in Australia. The recruitment demand environment is better and we are gaining traction in domestic Hong Kong and Singapore markets. In Continental Europe and the Middle East, which is 20% of the segment, revenues increased 18% in euros. We are seeing the number of incoming inquiries increase in Germany as well as benefiting from additional sales focus in France and Switzerland. And the U.S., which is 13% of the segment, was down 9% year-over-year. That said, the team turned in much better billings performance during the quarter, posting a double-digit increase versus a year ago. In our Energy segment, revenues were up 31% year-over-year at $8 million in the third quarter, driven by the Q1 acquisition of OilCareers, which contributed $2 million in revenue. Rigzone essentially was flat but had the negative impact of an off year for offshore Europe, a large industry event that occurs every 2 years. In our Healthcare segment, revenues totaled $6.9 million with the vast majority from HEALTHeCAREERS and BioSpace, which were acquired in November last year. The Hospitality segment, which is Hcareers, also acquired in November 2013, contributed $3.7 million to the third quarter. Finally, Corporate & Other, this segment contains Slashdot Media, WorkDigital and our corporate-related costs. Slashdot Media revenues increased 30% year-over-year to $4.8 million, due to better optimization strategies, increased ability to deliver more B2B leads and product design changes that increased inventory. This makes 2 consecutive quarters of stronger-than-anticipated performance for this business. On a year-over-year basis for our largest segments, Q3 billings for Tech & Clearance, including The IT Job Board, were up 7%. Tech & Clearance, excluding The IT Job Board, was up 4%. Finance billings grew 18% and Energy, due to OilCareers, increased 37%. Our billings performance is reflected in deferred revenue on the balance sheet, which totaled $81.9 million at September 30, up 18% or $12.5 million from September 30 last year. The increase was primarily driven by acquisitions completed over the past year, which account for 70% of the increase in deferred revenue from 1 year ago. Excluding the impact of acquisitions, deferred revenue grew 5%. On the expense side, operating expenses increased 32% year-over-year due to expenses from businesses acquired over the past year. This includes about $3.1 million of increased depreciation and amortization expense. The year-over-year increase in cost of revenues from 12% to 14% of revenues is consistent with our expectations and reflects the impact of royalties paid to health care associations, which provide traffic and jobs to HEALTHeCAREERS. Otherwise, our cash operating expenses declined slightly as a percent of revenues compared to the prior year period. Adjusted EBITDA, which includes the add back of approximately $500,000 for the fair value adjustment related to purchase accounting of acquisitions, totaled $22.4 million during the third quarter. That's up 23% year-over-year. Reconciliations of adjusted EBITDA to net income and net cash flow from operations are provided in our press release. Our income tax expense for the quarter was $3 million, resulting in an effective tax rate of 24%. This includes a tax benefit of $1.7 million from tax loss carryovers obtained in the onTargetjobs acquisition, which were recognized in the current quarter after the tax returns were finalized. This is an asset that we acquired as part of the onTargetjobs acquisition, but is being recognized this quarter since the amount was uncertain at the time of the acquisition. This lower tax rate is an anomaly this quarter and we do not expect it to continue. The company posted net income in Q3 of $9.5 million, resulting in diluted earnings per share of $0.18. Cash flow from operations totaled $14.3 million in the quarter, up 135% from $6.1 million last year, reflecting increased EBITDA performance as well as the impacts of working capital in the quarter. We ended the quarter with $27 million in cash and equivalents and $113.1 million of debt outstanding. During the quarter, we repurchased 1.1 million shares of our common stock pursuant to our stock repurchase plan at an average cost of $8.22 per share for a total cost of approximately $8.7 million, leaving us at quarter end with about $22 million in our current authorization. The purchased amount in the quarter included 500,000 shares where General Atlantic, our long-time partner, was the counter party. That 500,000 share transaction was part of a 3 million share transaction in which GA completed their investment in our company. For 2014, we have revised our expected financial performance to reflect the better-than-anticipated performance and increase in expectations for the final quarter of the year. We now expect 2014 revenues in the range of $262.5 million to $263 million. Adjusted EBITDA is now expected to be in the range of $84.5 million to $85 million. Net income is anticipated to be $27.5 million to $27.8 million, with diluted EPS of $0.50 to $0.51. For Q4, we expect revenues of $67.7 million to $68.2 million and adjusted EBITDA of $20.3 million to $20.8 million or 30% of adjusted revenues. For more, let me turn the call back over to Mike.
Michael P. Durney: Okay. Thanks, John. A year ago, we identified a number of goals for the company, both short term and long term. On the professional side, we wanted to focus on the arc of their careers, providing value to professionals through the life cycle of their career. On the customer side, we wanted to deliver access to talent most efficiently and make their recruitment process as efficient and effective for them as possible. We aim to leverage the power of data and improve our business and to provide more vertical specific content, and we wanted to improve our capabilities in mobile. Our company goals for 2014 specifically focused on improving the Dice.com product in the areas of product development, sales and marketing, on innovating across the company and, in particular, in WorkDigital and we wanted to bring the Open Web service to market as a commercial product. And actually that we did in 2013. And lastly, we want to build a culture of high performance and innovation throughout the organization. Our specialty value proposition has always been strong, but as we've communicated to you and all of our stakeholders over the past year, we needed to deliver new and better products that are developed faster and are more responsive to customers and candidates' needs. Simply stated, we embarked on our mission to reposition the company for growth and to instill a sense of urgency throughout the organization. Today, it's clear that we are making progress on many fronts. The third quarter offers a number of proof points from my perspective. One, it's our third straight quarter of year-over-year organic growth in sales; two, the Dice.com business had year-over-year billings growth for the first time in 2 years; three, Open Web product reached 600 customers; four, we won a handful of awards for product innovation; and lastly, we're continuing to make strides in product development, which has been a key area of focus and investment. Those product investments are geared to drive long-term growth, including building the Dice.com product, focusing our efforts on enhancing data and developing mobile enabled sites and apps. In the third quarter, we had many notable product enhancements for hiring managers and professionals. I'll highlight a few starting with an update on Open Web, which is currently available through Dice and The IT Job Board. Open Web is our big data recruiting service that sources publicly available information and creates professional profiles of individuals that are optimized for recruiters and hiring managers. Core to our value proposition of delivering talent to hiring managers and recruiters efficiently, Open Web transforms the recruiting landscape by combining social recruiting and data analysis into one easy-to-use tool. Through September, more than 600 Open Web customers have been sold with Open Web having only been available for roughly 10 months in North America with Dice and for about 3 months in Europe with The IT Job Board. We're getting some terrific new feedback from hiring managers in Europe with Sainsbury's, Tata and Cognizant, among the first organizations in the U.K. to adopt this new way of sourcing talent. For Tata, their acquisition -- talent acquisition lead noted Open Web allows them to see candidates, and I quote, "in the round from the get go," providing a better, broader view and better insight into candidates before they engage with those professionals. This echoes the feedback we received from many Dice customers that Open Web; one, allows them to see more unique candidates; two, allows them to engage in a more meaningful conversation, sparking stronger response rates; and three, allows tremendous efficiency as the one-stop shop for insights and professionals. It's a great start, but we aren't resting on our success. Last quarter, we launched the integrated search product for Dice recruitment package customers that have added Open Web to their sourcing tools. This functionality allows customers to see all candidates that match their search criteria within one search, regardless of how the profile entered in the talent pool. With a streamlined workflow, we've increased engagement with Open Web and easily demonstrate that the world's tech talent is, literally, at your fingertips. The sourcing of public profiles will be quite competitive over time, but I'm absolutely convinced that the combination of access to publicly available information, combined with our rich resume and profile databases, will provide superior return for our customers. And there are more areas of product enhancements for Open Web to come. Another key in delivering tech talent is amplifying our job postings without losing the targeted advantage we naturally provide. Our Twitter cards, known as #Dice141, are delivering greater reach and visibility within the tech community. That product was recently recognized as one of the 6, 2014 Awesome New Technologies for HR at the 17th annual HR Technology Conference. #Dice141 enables us to attach richer information for our clients to their everyday tweets of Dice job postings on Twitter and we are making those tweets even smarter by showing hiring managers, just which hashtags they should be using to get in front of the tech talent they desire, another key improvement. In this way, we've become a source of social recruiting strategies for employers and recruiters, further cementing our specialty role. Improving engagement with professionals more broadly and over the arc of their career is key to our long-term success. On eFinancialCareers, we recently launched a compare me module that allows financial services professionals to rank themselves against other professionals in the industry or within their sectors to understand where they have gaps in their profile and experience. Since launch, traffic to compare me has grown by 8% month-over-month. And today, approximately 10% of all users who made their profile searchable have used the feature to better educate themselves and optimize their profile for hiring managers. In addition, we've expanded our eFinancialCareers service by launching a mandarin language site, targeting the domestic financial services market in China. eFinancialCareers has performed well for us in China with an English language version, but now we can address a broader opportunity in the market by operating a Chinese language site. In addition, we launched an English language site for Malaysia, which is developing as a regional financial center with international openness [ph]. To provide an example of focusing on data, to improve our business, we recently started using aggregated search behaviors of candidates to show noncustomers of eFinancialCareers how the search patterns demonstrated they're missing out on candidate traffic that had come to the site specifically looking for their jobs. That effort has already won back some lost customers and opened doors for prospects who are not currently customers. It's a relatively small example but shows how we're improving our performance by using data that only we have. In our Healthcare segment, we are on plan with the integration of our 2 services, HEALTHeCAREERS and Health Callings with employer, job and professional content being migrated monthly. At the same time, we're pushing through product improvements on the HEALTHeCAREERS site and we're seeing stronger application rates from changes made to our search engine. Since we made the change, the application rate from search has improved by 37%. For our Hospitality brand, Hcareers, we've upgraded the look and feel of the site as well as started to publish original content and have recently upgraded the search functionality on the site for the first time in many years. In mobile, we've made improvements on offerings at Dice, HEALTHeCAREERS and Hcareers, and we now have more frequent upgrades and enhancements to our mobile offerings. Finally, in focusing on innovation, I wanted to point out a product that this year was named the top innovator in social data by DataWeek. EventGraph is a social media listing product that provides more context to online conversations by leveraging location data and the rich profile data from Open Web. EventGraph allows brands to understand where those conversations are occurring and to get a clear picture of the individuals behind those updates. It's early to look at this as a business line, but this is an example of the types of products that come from an innovative focus to build product pipelines. This is the second product from WorkDigital to win this award in 2 years, and is a great recognition for our continued efforts. As we've discussed over the past year, we knew that we need to strengthen our foundation, including; one, introducing new products and services; two, faster innovation in our current services; and three, expanding our market opportunity through acquisition. While this is a work in progress, we're pleased to deliver the efficient recruiting solutions, employers need and to enhance our services and product line. We are the leading specialty online recruiting company in 6 key verticals. Fundamentally, we've always known that one career site doesn't fit all careers. The opportunity here is to leverage our specialty focus to create long-term value for our customers, communities, team members and shareholders. In addition to all the work on our individual brands, we're working towards unifying the organization and improving our overall capabilities. In September, we launched a new Dice Holdings corporate website. This new site is meant to reflect our people-centric mission, bringing the right people together in what will, hopefully, prove long, fruitful professional relationships. We aim to showcase both our strengths and how we accelerate improvements in our internal practices and performance while demonstrating to all our stake holders that we're team of over 800 people who embrace innovation and change. We're tackling it together as a team, as I've said in the past, our company has undergone a lot of change, but I feel now that we have the team in place to move us forward and I want to express my gratitude for the team's hard work, not only in this quarter but for many of my teammates over several years to make Dice Holdings a stronger, more valuable company. So with that, let's open up to questions.
Operator: [Operator Instructions] And the first question comes from Tim McHugh with William Blair.
Timothy McHugh - William Blair & Company L.L.C., Research Division: I guess, just real fast one numbers question, I guess. So Dice.com you said it was up for the first time in a couple of years, I think, was the comment. I guess, can you give us, specifically, I guess, what the organic was for that and then the overall billings on an organic basis, I guess, what the growth was?
John J. Roberts: Sure, Tim. So overall organic billings growth was 5%. And if you look at Dice specifically, that was up 3% organically year-over-year.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. Great. And obviously, I think, eFC was the strongest part of that. Can you just talk in context given that so much of that business is in Europe and I understand the U.K. trends are -- macro trends are a lot stronger than we've seen in the continent, but there's a lot of uncertainty right now about what's happening there. But your comments about billings activities suggest you're seeing otherwise, I guess. So can you just talk a little bit about, I guess, the macro environment and how it fits into what you're seeing in Europe?
Michael P. Durney: Sure. So I think there probably is more trepidation today than there was a few months ago, specifically on the continent, not so much in the U.K. But I think from our standpoint, I think our processes and our coverage have improved, so we've continued to see benefits across the business. I would say, the other thing is, Asia continues to be quite strong. And I think we're making some good progress in the U.S. with a new management structure in place for the U.S. organization. And so I think across the board, the business is performing really well. I think those headwinds maybe are there, but we haven't really seen them yet in our business.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. Great. And then Energy, I guess, for the segment, you talked about the headwind from the biannual event. How much was that, I guess, from a revenue drag, I guess, or a tough comp that you had to overcome this quarter? And then I guess, just similarly from a macro perspective, can you comment on -- this is the price of oil and things like that have come down a lot, but yet your bookings growth, I don't know what it was organically there, but still seemed, I guess, solid. So any signs that the macro environment is changing the demand equation in that market at all?
John J. Roberts: Yes. So the -- let me take the -- couple parts of that and then Mike will take a part. So the billings growth is basically flat to down a little bit in Rigzone. So if you look at the Energy segment, here we talked about billings growth being up, but it's related to OilCareers. I'm sorry, what was the other -- the first part of your...
Michael P. Durney: [indiscernible] offshore Europe.
John J. Roberts: The offshore Europe -- I'm sorry, was -- that runs about $0.5 million. It depends a little bit on the size and it changes a little bit every 2 years, but think about it as roughly $0.5 million.
Michael P. Durney: Tim, on the broader question, I think from a price of oil standpoint, we've always said that $70 to $75 is a level where there continues to be investment, and I think that's still true today. When there's pretty big swings, I think there ends up being a fair amount of hesitation because nobody knows where the bottom is or the top one when it goes in the other direction. So I think we have seen some impact from what's happened to the price of oil. We also saw some impact, I wouldn't say it was great, but some impact leading up to the Scottish independence vote, specifically around the North Sea and a lot of -- the majors operate in the North Sea. I think, honestly, our overall performance in the Rigzone business has not been this year what it has been in the past and we're focused on making some improvements in that, including now we're focused on integrating the 2 businesses; which will be a relatively short-term item, but will take a number of months to do that and in the interim, we're managing through the overlaps between the 2 businesses, so that does have some impact. But I think the changes we're making to the business will improve it going forward.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then one last one and I'll turn over. Just -- I don't know if I missed it, but for -- Healthcare and Hospitality, do you have a sense for the underlying bookings growth there on -if you had owned these 1 year ago, I guess, what's the trend line in terms on a pro forma basis or something like that?
Michael P. Durney: We do and the way the business was run was slightly different than the way we run it from a bookings and billings and sales standpoint. So I'm not sure I can give you apples-to-apples. I would say, on Hospitality, it's up year-over-year in the mid-single digits, mid- to high-single digits, roughly. Healthcare, on -- the HEALTHeCAREERS business is up in the single digits, somewhere partially offset by as we roll off the Health Callings business some of that business goes away because of the overlaps, which is what we expected. So net-net, it's relatively flat.
Operator: The next question comes from Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: Wanted to focus on the tech side. Some of the publicly held companies in this space, specifically those that have exposure to contract IT staffing have been seeing some volatility and some slowing growth. Are you seeing that in terms of job postings or any other metrics?
Michael P. Durney: No, we haven't seen it. Yes, I would say if you go -- if you look at what John said about revenue per customer, that's driven by a couple of things, but one of them is the bigger staffing companies continue to buy more of our services.
Jeffrey M. Silber - BMO Capital Markets U.S.: All right. That's good to hear. I know this is a small portion, but the U.S. business in the eFinancialCareers continues to be weak. If you can give us a little bit of more color on what's going there. Are you doing anything to reaccelerate that business?
Michael P. Durney: Yes, I think it has been weak through the beginning of this year. We've reorganized the sales and marketing leadership of that business and I think we've seen the last few months have actually been quite good for that business. So we're expecting that to continue. It is the market in which we have the toughest competitive environment, that's been the case for a number of years. But I'm actually really optimistic at what we've done structurally in that business, and I think it will turn. I think it has turned already.
John J. Roberts: And in fact, it has turned a little bit this quarter with some improvement in the billings performance this quarter.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay. I know it's a bit early and I know you're not giving guidance for next year, but based on current trends, where do you see things going? Can we keep this momentum going and how much longer?
Michael P. Durney: You're right, we're not giving guidance for next year at this point. But I mean, I think -- but we've seen some positive trends this quarter. I think you see reflected in the guidance for Q4 and the remainder of the year the continuation of those trends reflected in the guidance. There's nothing as we sit here today that makes us think that there's going to be something dramatically different moving into next year, but that's sitting here as of today.
Operator: The next question comes from Youssef Squali with Cantor Fitzgerald.
Kip N. Paulson - Cantor Fitzgerald & Co., Research Division: This is Kip Paulson for Youssef. Just a couple of questions. First, your 4Q guidance calls for a 30% adjusted EBITDA margin at the midpoint. What is driving this 3 percentage point contraction, especially given the pickup in organic growth in the quarter? And second, with the eFinancialCareers pickup, could you provide some color on how many eFC customers you have and how growth customer additions and churn impacted the segment this quarter?
John J. Roberts: Sure, Kip. So let me take the first part on the Q4 guidance. So what you see reflected in there is -- so one of the things we've talked about over the course of the year is increased investment in a number of areas. If you look at what's built into the guidance for Q4 on the expense side, what you see in there is some increase and some acceleration really in the marketing expense, primarily driven by Dice Tech & Clearance and some of the other businesses, but primarily Dice and the Tech & Clearance segment is driving that increased marketing expense in Q4. It's been lagging a little bit over the course of the year and we do expect some catch-up in Q4 on that.
Michael P. Durney: On the eFC customer count, that's not something we've disclosed in the past. We don't talk about the raw number of eFC customers.
Kip N. Paulson - Cantor Fitzgerald & Co., Research Division: Okay. Fair enough. And one last one, if I might, Dice.com recruitment package customers have stabilized at the 8,000 mark, but it seems to be kind of stuck there. Could you talk a bit about what it will take to get that customer count up and what do you view as your addressable market there?
Michael P. Durney: So yes, it has been stuck at about 8,000 for us, given the trends it was on. We view it as relatively good news. So one of the things that we have to crack and we've talked about this for a while and having quite cracked it yet is the shorter-term customer count, which has an impact because if you look at the annual customer count, that hasn't changed very much over the last couple of years, but the number of shorter-term customers has declined because people found other sources, including with us buying through the WebStore, which is not in the recruitment package customer account. So we need to crack the shorter-term customers. The number of shorter-term customers and the impact on our revenue is relatively small, but it is a pretty good lead generation source for us and so we are quite focused on it. I think if you look at our addressable market in the past, we've described that there are tens of thousands of companies that we've identified would be likely recurring users of the service and that number fluctuates, but it's been in the 30,000 to 40,000 range. And so that's how we view our addressable market from an annual customer count and then we think there's hundreds of thousands of entities that can use our service on the shorter-term basis.
Operator: [Operator Instructions] The next question comes from Randy Reece with Avondale.
Randle G. Reece - Avondale Partners, LLC, Research Division: Impressed with the progress in the -- in your average revenue per recruitment package customer. Does that reflect the impact of Open Web? Or are you getting some, maybe, internal growth other than that?
Michael P. Durney: Yes, so the impact of Open Web certainly drives the average number, Randy, but on a pretty small amount actually. It's more driven by expansion with some of the larger customers that we have. So expansion with some of the larger staffing firms and direct hire companies as well.
Randle G. Reece - Avondale Partners, LLC, Research Division: In this quarter and comparing with the previous couple of quarter's trends, other than the very largest customers, how would you describe business trends inside of Dice -- Dice.com?
Michael P. Durney: Yes, I think -- in terms of previous quarters, I would say, it's about the same to slightly better. I think our sales and lead-gen process continues to get better, and I'm impressed with what the team has done in terms of building the pipeline. So I think our access to customers and our conversations with customers and meetings with customers are higher today than they were recently. So I think putting aside the very biggest customers who we've had great relationships for a long period of time. I think when we get to the mid-size and smaller, I think it's improving.
Randle G. Reece - Avondale Partners, LLC, Research Division: Am I correct in saying that the attach rate on Open Web is creeping up as the percentage of new and renewing customers who are taking product?
Michael P. Durney: Yes, think the math would say that. So we have 100 more customers roughly and -- who are using Open Web on a relatively consistent customer base. The other thing that we're happy about is that the engagement with Open Web has continued to increase since we launched the product as a paid product. And ultimately, that will help us as we try to leverage what we have in terms of customer count to date. Yes, it has increased.
Randle G. Reece - Avondale Partners, LLC, Research Division: There's a, really, a large number of relatively new products competing in that same general profile aggregation space. What do you think will be the most important competitive distinctions to focus on for Open Web to become the leading product in space?
Michael P. Durney: So there are other competing products, and I think there are a number of them that are pretty good at what they do or very good at what they do. As I believe Open Web is very good at what it does. I think there's a number of ways that these products compete generally. So if you put them all into the same bucket, so one is source of and accuracy of data, so the accuracy of the data is a huge issue. We think ours is as or more accurate than others, but I'm sure the others believe the same thing. So accuracy of data is one. Two is the ability to provide contact points. That is a big item that customers look for, and we each have varying amounts and varying degrees of accuracy in terms of touch points for reaching professionals. Three is formulating signals around likelihood to move. So if you think about it from a lead generation standpoint and a sourcing standpoint, that's really important. And lastly, we believe that combining the source of data through Open Web together with our proprietary databases provides a great value because you get the best of both worlds and it's one of the reasons why we've been focused on rolling out Open Web together with the individual properties. And we think we have that competitive advantage.
Operator: The next question comes from Craig Huber with Huber Research Partners.
Gregory R. Stein - Huber Research Partners, LLC: It's Greg Stein for Craig. I was wondering if you can go a little more in detail into both Slashdot and Rigzone. Slashdot for a while was really, really challenged and seems like, all of a sudden, pace has really accelerated, so just like to know what's driving that. And then Rigzone, you touched upon just it's been a little bit disappointing revenue wise this year, there's been some volatility, but I was wondering if there's anything else to that.
Michael P. Durney: So I'll take Slashdot first. I think Slashdot really underperformed for a period of time. We made a number of changes over the course of the last year or so after looking at its performance. And I think there's a handful of things, John touched on a few of them before. But I think there's just a better focus in that organization now on monetizing the assets. I don't think that existed in the past. I think they tried to sell advertising and to sell advertising and sell lead generation. But I think our focus is -- was to step back and look at different ways to monetize the assets, and I think we do a far better job at that now, and I think we've done some work on streamlining the organization and made the organization more, what I would refer to as succinct. And so I think that's had a top line benefit and I think it's had a bottom line benefit. And now the margin in that business is comparable to the margins in our other high-performing businesses. But I'm not sure if there's anything deeper than that other than we've just done a better job at focusing on how to monetize the asset. So Rigzone, I think there are some industry pressures on the business, I mentioned a couple of them earlier. And I think from an integration, we bought OilCareers to fill in some gaps in our international part of that business. I think that has happened, so we're getting the benefit of now owning OilCareers and the value of that business; which supplements where we had strength in Rigzone; which was in different pockets around the world and certainly in the U.S. And so I think as we put the 2 together, there are integration items that have to be taken care of, and I think there is the tendency for customers who use both to take a wait-and-see approach until we put the 2 of them together and that has had an impact. I don't think it's a huge impact, but it is an impact. And we're quite focused on executing the plan to put the 2 businesses together.
Gregory R. Stein - Huber Research Partners, LLC: Okay. On the expense side, I was just wondering maybe what do you see for the sales and marketing line, that's the biggest line. And then just going forward, is there any of the 4 items that maybe you expect to ramp-up fourth quarter? I know you mentioned marketing a little bit and then going into 2015.
John J. Roberts: So in Q4, I would expect a -- certainly an increase in the marketing spend, again, primarily around Dice. I think you'll see some continued increase in some of the other lines, primarily product development, as we continue to catch up on some of the hiring that we laid out in the beginning part of the year, which is part of the investment strategy we've been talking about. So...
Gregory R. Stein - Huber Research Partners, LLC: Okay. And then just lastly. I was wondering if you would talk a little bit about the pricing environment. Last quarter, I believe, Monster, on their earnings call talked about some pricing pressure. Just also in connection, I was wondering if you expect to do anything with annual pricing, I know for Dice, the annual package has been around $6,500 now for probably about 4 or 5 years. I was wondering if you might make any adjustments to that.
Michael P. Durney: So I think I'll take the second one first. At the moment, no, we're not looking at any pricing changes on the base level service, but we continue to play with pricing as you go up the chain in terms of volume deals. From an overall pricing standpoint, we haven't really seen much change. I think Monster has placed, as a generalist and the impact of aggregators and other generalists and what's going on, I believe that, that does have an impact on pricing in that realm, but for our services, as specialty services we really haven't seen any impact from pricing. For my view across the spectrum of our businesses, it's been relatively stable for quite a while now.
Operator: The next question comes from Bill Sutherland with Emerging Growth Equities.
William Sutherland - Emerging Growth Equities, Ltd., Research Division: And just a couple at this point. Interested, Mike, as you have completed a number of M&A deals, the appetite or the direction at this point for the company on that front?
Michael P. Durney: So, yes -- I mean, we continue to look for acquisitions. We think there's services and functionality that we think we can bring to the business that would help the business, so we continue to be searching for acquisition opportunities. We continue to generate a lot of cash and have borrowing capacity. Having said that, we're executing currently on the businesses we have. We think there's a lot of opportunity in those businesses and we think we're executing across the board better than we were in the past. And so from my standpoint, I've said this before, publicly, my standpoint is while we -- we would like to do acquisitions and we keep looking for them. But hurdle today is a little bit higher than it's been in the past. And I mean, from an operational standpoint, not hurdle rates and returns. But just the hurdle to pursue an acquisition today and integrate it is slightly higher than it's been in the past as we really focus on executing with the businesses we have.
William Sutherland - Emerging Growth Equities, Ltd., Research Division: Right. And then, obviously, regarding hurdle rates, you got to think about your own shares. I mean, is that maybe the preference?
Michael P. Durney: Well, I don't -- I think generally speaking, and John can supplement this, I don't think our view has changed. I think we view that cash we generate in the businesses belong to the shareholders and we continue to, roughly equal basis, return that cash to shareholders and we think it's attractive. But as I've said many times in the past, and I use this phrase somewhat loosely, is that we can -- we think buying our shares is a good investment for the cash we generate in the business, but we want to be mindful that acquisition opportunities come along and I'd hate for the company to miss an acquisition opportunity because we ramped up share repurchase, and I think it would be unfortunate if that were to happen. And we're a relatively conservative financial structure organization and we're not going to have that change. So we're mindful that we may be presented with acquisition opportunities, and we want to have a flexibility to be able to do it.
William Sutherland - Emerging Growth Equities, Ltd., Research Division: Sure. John, I was just noticing the cost structure -- it stepped up quite a bit in terms of cost of revenue this year. How should we think about that going forward? It used to be more in the 11% range.
John J. Roberts: So there's something specific in there, Bill, which is the cost of revenues related to the health care business that we bought. So they have arrangements with health care associations for -- basically to drive traffic to the sites. And the costs related to those health care associations goes into cost of revenue. So that's what's been driving the increase up and it's been driving it up to the level we expected actually as we fully integrate that onTargetjobs business and HEALTHeCAREERS business into the company.
William Sutherland - Emerging Growth Equities, Ltd., Research Division: Right. I knew about that impact. I just didn't know if -- I mean, directionally, it just seems like it's trending down slightly, but maybe that's noise -- guess I should ask the question more that way.
John J. Roberts: Yes, I know. I think that's just -- I don't think there's anything specific in there. I think the main driver continues to be the costs related to the health care associations.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Constance Melrose for any closing remarks.
Constance E. Melrose: Thank you for your time this morning and for your interest in Dice Holdings. Management will be available to answer any follow-up questions you may have, and please call me at (212) 448-4181 to be placed in the queue. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.